Operator: Good morning. My name is Tom, and I will be your conference operator today. I would like to welcome everyone to the Strawberry Fields REIT LLC year-end 2024 earnings call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. If you would like to ask a question during this time, you have to press the star key followed by the number one on your telephone keypad. I would now like to turn the conference over to Jeff Bajtner, Chief Investment Officer. Sir, please go ahead.
Jeff Bajtner: Thank you, and welcome to Strawberry Fields REIT LLC year-end 2024 earnings call. I am the Chief Investment Officer of the company, and I focus on acquisitions, growing our company's operator base, and investor relations. On the call with me today are Mark Schubin, our CTO, and Greg Doyle. On Thursday, the company issued its year-end 2024 results, which are available on the company's investor relations website. Participants should be aware that this call is being recorded, and listeners are advised that any forward-looking statements made on today's call are based on management's current expectations, assumptions, and beliefs about Strawberry Fields REIT LLC's business and the environment in which it operates. These statements may include projections regarding future financial performance, business acquisitions, investments, returns, financing, and may or may not reference other matters affecting the company's business or the businesses of its tenants, including factors that are beyond its control. Additionally, references will be made during this call to non-GAAP financial results. Investors are encouraged to review these non-GAAP financial measures, as well as explanations and reconciliations of these measures to the comparable GAAP results included on a non-GAAP measure reconciliation page in our investor presentation. And now onto discussing Strawberry Fields REIT LLC's growth rate and our 2024 performance. As we look back at 2024, a big takeaway is the work the team completed in growing the portfolio. This growth was not just through the acquisition of new facilities, but also working with existing tenants and moving existing leases to the company as stable cash flows into the foreseeable future. I'd like to point out some of the numbers which detail this growth. During the year, the company acquired $130.3 million in grocery, growing the portfolio from 109 facilities in the United States to 124 facilities in ten states. Bed-wise, this translates from 12,449 beds to 14,186 beds, which is approximately a 14% increase. Through these acquisitions, the company has grown its tenant base from ten operators to forty. Additionally, the company's base rents increased from $84 million in 2020 to $104 million in 2024. We expect that number to be around $130 million in 2025. As it relates to our existing tenant leases, we also had a few individual instances where insurance was retained by an existing tenant into their master lease. Currently, 88% of our facilities are tied to master leases. For 2025, the company has six leases that are maturing, one in Ohio and two in Illinois. We are pleased to announce that the tenant for the Ohio facility has exercised the option to renew for the next five years. With new leases and new acquisitions, our average lease term has increased from 4.6 years at the beginning of 2024 to a healthy 7.4 years by the end of the year. It is important to note that this average lease term is based on the initial ten-year lease term. Almost all of our leases include at least two five-year options to extend. As it relates to this past year, I wanted to share some key highlights. During the year, the company collected 100% of its contractual rents. As we discussed in last quarter's earnings call, in July, the company filed a registration statement on Form A. In August, our company established an ATM program. Due to this program, the company began selling shares to the public for the first time as we initially went public through the RFC. In December, the company followed up the ATM program with its first underwritten public offering of approximately 3.34 million shares of common stock, for total gross proceeds of $35 million. In December, the company completed an acquisition from an unaffiliated seller with respect to eight healthcare facilities located in Missouri, our tenth state. The purchase price for the facilities was $87.5 million. Under the master lease, the tenants currently pay annual rent on a triple net basis. The eight facilities are comprised of 1,111 beds. In December, the company entered its first agreement for six healthcare facilities located in Canada. The purchase price for these facilities was $90 million. The facilities are leased under a triple net master lease structure in terms of third-party tenants. Initially, the lease is for ten years and includes two five-year options. The company closed the acquisition on January 2, 2025. This acquisition brought the company into its eleventh state and increased the overall portfolio to 130 facilities and 14,540 beds. Subsequent to quarter-end, our board of directors has authorized a cash dividend of $0.14 per share. The dividend will be payable on March 31, 2025, to shareholders of record on Monday, March 17, 2025. This dividend will be our tenth consecutive quarter of paying a dividend and continues to represent the company's philosophy of showing the market that our dividends can be relied upon. I would now like to have Greg Flamion, our Chief Financial Officer, discuss the year-end financials.
Greg Flamion: Hello, and thank you for attending our end-of-year earnings call. 2024 has been a year of significant portfolio expansion for Strawberry Fields REIT LLC. Including the acquisition of our Kansas properties on January 2, 2025, we have increased our portfolio by 19.3%, bringing the overall facility count to 130 facilities. This expansion has strengthened our financial position, driving substantial growth in net fixed asset-related accounts, increasing total assets by 27.7% to $170 million. In addition to the financial growth, this expansion has enhanced our risk diversification across states and operators as we have entered into two new states and established partnerships with new operators. Additionally, cash and cash equivalents, both restricted and unrestricted, increased due to the financing of the Kansas acquisition and higher reserves associated with financing activities. Our 2024 year growth was supported by multiple funding sources, including $118 million in bond issuances, a new $59 million mortgage facility with Poplar Bank, a $33 million equity raise, and proceeds from our after-the-market program as well as rental income. The company also strategically reduced debt by paying down $24 million on a higher interest loan. Collectively, these financing activities led to a 23.6% increase in total liabilities to $134.5 million, while equity rose $36 million, representing a 76.8% year-over-year increase. Moving to the profit and loss, 2024 was also a year of strong profit growth for Strawberry Fields REIT LLC. Revenue increased by $17.3 million or 17.3%, driven by full-year contributions of the Indiana two master lease, which was acquired in Q3 2023, as well as revenue from additional acquisitions completed throughout 2024. Total expenses rose by $3.4 million or 6.5%, primarily due to higher depreciation and amortization costs along with increased general and administrative expenses. Interest expense also grew by $8.2 million or 33.4%, reflecting the additional expenses incurred to finance the company's portfolio growth. Despite these increases, revenue growth outpaced expenses, resulting in a net income of $26.5 million. This is an increase of $6.3 million or 30.9% compared to the prior year. Moving to the financial highlights slide, our strong operational performance resulted in an adjusted AFFO of $55.8 million and an adjusted EBITDA of $90.6 million. These metrics demonstrated year-over-year growth with a compound annual growth rate of 12.6% and 8.2%, respectively. Despite our strategic emphasis on portfolio expansion, we remain committed to delivering value to our shareholders. In 2024, the company increased its dividend from $0.12 per share at the beginning of the year to $0.14 per share by year-end. This represents a 16.6% increase in the annual dividend distribution per share and a 5.3% dividend yield with an AFFO payout of 49.5%. And with this, Moishe Gubin will continue the presentation with additional 2024 portfolio highlights.
Moishe Gubin: Thank you, Greg. Thank you, Jeff. Let's see. I think both of the slides. For me, the underlying conversation is the maturity of our company and how we continue to go from, you know, originally a mom-and-pop, you know, founded by Michael and I, you know, company to turning into a competition. A company and heading our way towards getting widely held, adding liquidity to the stock. And so, I guess, for me, the biggest highlight of the year was actually doing our first real public offering, bringing in some institutional shareholders, and then they moved into the national level of rehabbing. And for us to grow on that and build on that is what we're looking to do. Currently, the portfolio is on its 130 facilities in eleven states. And I've checked it earlier about 14,540 beds. We cover these things about fifteen different roofs. And, like, also just said our walls went up to a 7.2. Very, you know, all of our leases are built the same exact way, which is ten-year leases with two five-year vehicles. So that wall, that 7.2 sports on my end, because people are not gonna renew these users when there's, you know, six, seven years left. The meeting. So we're gonna keep working on that and growing that. Our trailing twelve-month unit arm is a good number. Our base rent growth rate, 7.5%, which is pretty good. Rent in Chester over here. Really proud of these graphs, particularly from these six years ago, AFFO of their own thirty-one. Almost doubling in six years. Very, very proud of that. The growth rate on the base rent. And like we said earlier, we expect that number to be close to $130 million in 2025. See how long we're doing to get in there. Our stock price, and this is really for me the highlight. You know, we were relatively unknown and trading few shares by appointment at the beginning of 2024. And as the year went on, our volume increased. And our stock started to grow. And then we did an offering and the stock went down. And today, our stock price, I believe, is trading over $12 a share. And, hopefully, it'll continue to rise. I mean, I don't know. We have a goal for today's purpose is for us to be treated like all of our peers in the next being traded at a multiple thirteen, fourteen times our FSL and we hope to get there, God willing. Our last year return was out here as you can tell. Our ASR for trading multiple is at the lowest for our peers. Again, we hope to improve. And part of that is us going to conferences on a regular basis, going to have your meetings, investors, meeting with analysts, and getting the story out there so that the stock could trade. We'd like to continue to sell shares through the ATM. You know, our real range of our debt. This one, you see forty-five and fifty-five and you're at fifty-one, fifty-two. Which is higher than we want to be, but it's down range. And we got a really successful year in raising equity and finding deals and that number should hopefully talk to helping out ratio, and then we're beating everybody as far as we're only to fund our growth and our dividend yield is right around five percent. And we're happy with that as well. I know there's people out there having a hard time hearing us. We're doing the best we can over here. So hopefully, whatever I miss, your last question, and we'll be able to answer it. You know, we're proud of the fact that we're, you know, really down to pure play skilled nursing healthcare we have there. And at this graph, we were able to see that we're close to ninety-one percent of our portfolio is still nursing. We generally do not look at deals for assisted living. Portfolio. And we're gonna continue doing exactly what we've been doing all along. Yeah. We were disciplined, like, we told people over and over. Yeah. And then even though our coverage also see, it's a lower kind of range, but it's a pretty good number. It's been improving since corona ended. We see our tens doing well. And hopefully, they'll continue to thrive. Our AFFO per share growth over the last five years is a really, really good number. That number, of course, is constrained, but it's gonna continue to grow. Well, that's being active in a marketplace. These graphs or two of our last graphs. I mean, you look at the growth rate of our shares. I think our expectation is here we had that one eleven as we hit the corporate share. We're hoping this year's ahead. It's closer to one twenty-five. Something like that. And that should be another, you know, ten percent cliff or twelve percent cliff. And that together with our five percent dividend yield provides a double-digit return for our investors. And we expect that we should have to continue to do that. Our business is so solid and stable that really if we just stop doing what we're doing, be able to just live in our close as much as we have, as we're doing now. And, you know, we feel to continue to collect all of our rents and we're a really good strong company. Of course, our objective is to keep growing as long as we can grow the way we wanna grow, we're talking on our terms. We've told the marketplace exactly how we buy and we remained committed to buying exactly that way. And so and that's what we're trying. Hopefully, we're gonna continue to do that. Just for informational purposes, I have to have attorneys. You know, we're in 2025. We do expect to clean off some of our debt by bringing a less expensive debt and if our affairs continue to trade well, to sell shares through the ATM to pay down debt. That should be good for all of us. The shareholders, we still look to HUD as our exit on the debt side of things. Though they still is. We'll see where that lands. This is really what I'm trying to this podcast here shows you that we've diversified our portfolio by state and by operator. Where nobody is higher than twenty-eight percent of our portfolio unless they continue to shrink as we continue to grow. And this is for me, this is really good because when we started years ago, there's one operator in one state, and then it became one operator and two states. And then as we started getting more folks in, net related party leases are probably fifty percent or in social again. So the folks have, like, everyday party leases, that's, you know, I'm sorry, but we're gonna continue to diminish those. You know, to shrink those down. Into the fourth. They don't like that as much. You should be happy to know that we're continuing to meet and have slight, newer tenants not related to our portfolio. With that, this is what our map looks like. And Tennessee, Mississippi, Alabama. Georgia, Amaya, so we have what to do in the Midwest, but that's really where we are. Now if we finally go tomorrow for twenty facilities and you know, we follow that, we would, you know, deal make sense and fits our box, we would buy. The reality is is really where we invest anything invest and we're gonna throwing a circle and to be able to keep us moving along in life. Certainly.
Operator: Ladies and gentlemen, the floor is now open for questions. Please press star one on your telephone keypad. We do ask if listening on speakerphone this morning that you pick up your handset while asking your question to provide optimal sound quality. Once again, please press star one on your telephone keypad at this time if you wish to join the queue to ask a question. Please hold a moment while we poll for questions. And the first question this morning is coming from Gaurav Mehta, from Alliance Global Partners. Gaurav, your line is live. Please go ahead.
Gaurav Mehta: Thank you. Good morning. Morning. I wanted to ask you more details on the transaction market. Wanna get some color on what you were seeing as far as deal flow and pricing.
Moishe Gubin: Okay. Well, I'll let Jeff answer that, but I would just tell you pricing-wise, we know, buy things exactly the same way. So if it doesn't fit our box, we don't buy it. We haven't bent on that or bent it, if that's the right English word. So on our philosophy and our execution strategy. But I'll let Jeff answer what the pipeline looks like.
Jeff Bajtner: Oh, that's my Saturday. I mean, we're learning fields are coming in if, I mean, consistently, from all corners of the country. But, I mean, as Moishe said, we're only gonna be growing in a new state if it makes sense. And we, I mean, if there's a sizable approach. A sizable portfolio. So as we show many features are showed here in Missouri and Kansas. There are. And in terms of our deals, this thing.
Moishe Gubin: Yeah. I would say that I would say that, you know, as we get bigger and bigger, hopefully, deal size will continue to grow. We've now, two years in a row, closed over a hundred. Ten, a hundred and twenty-five million dollars a year. We expect this year, hopefully, I don't know if the marketplace wants me to sound like I'm certain that are gonna happen, but I don't have a crystal ball. So I'm telling to you, like, how I feel. But I expect that we should be able to close a hundred and fifty million dollars this year and hopefully more. But we already have, I think, most likely lined up for the probably close to eighty, ninety million dollars for ready. It's only the, you know, beginning of March. So hopefully, this year will be a banner year as far as growth. And again, it's controlled growth because it's only it has to fit our box doing business the way we do business.
Gaurav Mehta: Okay. Great. As a follow-up, as you look to grow your company in 2025, how should we think about your leverage expectations?
Moishe Gubin: So again, our mandate has been between forty-five and fifty-five. That's equity. And we're debt to market cap at this point. And I would expect to be towards the low end of that range. Determine I mean, that was one of the things I'm proud of from 2024 was that it proved that we were able. We're also. Hello? We have an open market for selling equity. We have an open debt market, obviously, and as for us, and we have banks in America that are willing to lend to us. So there's a lot of different choices. Right? Every cash has a price to it, you know, depending on where things are. You know, we're looking to take out the best option for us. You know, most of the things that we do it's flexible. So even if I close on where today it makes sense to take on debt, right? Tomorrow equity goes up, I could take on equity and pay down debt or, you know, vice versa. So I have all the confidence today as a person, as a human being and as a group, you know, I have all the confidence in our ability, you know, to bring in the cash needed for a deal to get closed. And, again, we want the, you know, probably staff of fifty percent of debt. And so but, you know, again, we have all the options available to us.
Gaurav Mehta: Okay. And last, Yaron, I missed in the prepared remarks, but did you guys provide a forecast for 2025 EFO per share?
Moishe Gubin: So I think, I mean, we don't have exact. I think our range would be somewhere. Yeah. We'll probably. I don't wanna be too aggressive to fail you. I would say that, you know, for, you know, one twenty. One twenty as our expected, a couple per share. For the year. But I expect to beat that. Really I'm really undercutting myself because I wanna again, I this last time, like, I'm looking for adulation. So I wanna beat what I tell you is that I look good. The reality is it's probably once, you know, that was twenty to maybe a little bit north of that.
Gaurav Mehta: Okay. Thank you. That's all I have.
Moishe Gubin: You're welcome. Thank you, Gaurav.
Operator: Thank you. Your next question is coming from Rob Stevenson from Jenny. Rob, your line is live. Please go ahead.
Rob Stevenson: Good morning, guys. The sound keeps cutting in and out. Did you say a buck twenty of AFF for one for 2025? Was that what the number was that you guys gave?
Moishe Gubin: Yeah. Yeah. I think that's a number that I could certainly hit. I would expect to probably hit it.
Rob Stevenson: Okay. And then sorry if you guys covered this because the sound was fading in and out. Through most of the call, but I think I heard you say that most of your 2025 lease expirations had renewed already. Can you talk about where you are with the ones that haven't yet renewed?
Moishe Gubin: Yeah. We have two leases left. For 2025. The renew one of them renews, either August, August or September first. And one of them renews in December. The one that renews in December there's a five-year there's two five years remaining on that deal and the tenant has already said that they're gonna renew that lease. That's good. And the second one that we do is doesn't renew. It's the end of the lease that's mature. And the tenant already said that they do not plan on staying in the property. So we're actively pursuing a new tenant for that one asset. But other than that, these are just one asset out of a hundred and thirty assets. It's one of the standalones. Most likely, it will end up not being in a master lease because I don't think it's I think it's gonna be a new operator. It's not gonna be somebody that we already leased to. And so it'll stay a standalone. It'll probably be and it'll be a new ten-year with two five years. I would expect that we could be able budget neutral. You know, give or take, you know, small money one way or the other. Again and then we'll lock them in for ten years with two, five years. We'll take our normal routine, which is, you know, six months to secure a deposit, full guarantee the lease. And for God willing, we'll be able to get that done for. No. August, September, and we'll update you folks. It's only one lease. It's relatively immaterial, but it's. We'll update you, I guess, next quarter earnings call. Hopefully, by then, we'll already. Okay.
Rob Stevenson: And then on page twenty-four in the slide deck, you guys have the operator payer mix. The Medicaid percentage went up noticeably quarter over quarter. Is that just the acquisitions or something else driving that and is sort of seventy-five, seventy-six percent where there should be going forward in your mind?
Moishe Gubin: You know, we don't audit. Our tenants don't have audited financials, and we don't audit what they submit to us. We gather it and pass it along. And we don't really, for that specific metric, we're not really auditing that, you know, it's not as important to us. I can try to go and dig in the numbers in the next couple of days and get back to you, Rob. I don't know if it's just a reclass of, you know, before hospice or something that now they're coding as Medicaid. You know, well, I'd have to get back to you because it's not something that we spent too much time in our asset management really. We spread the numbers and we put it into format or we present it, but it's not something that we really know. And I don't wanna BS you. That's not my style, as you know. Okay.
Rob Stevenson: And then in terms of the shares and all outstanding, what were the diluted shares and units outstanding for the fourth quarter? As well as for the full year? The release only had the share count, but not the units.
Jeff Bajtner: So you wanna answer that? Our diluted shares at year-end were roughly twelve point twelve point one million shares. And our RRP units were only three point four million shares. So we had a total of fifty-five point.
Rob Stevenson: And then okay. And how significant was the ATM issuance in the fourth quarter?
Jeff Bajtner: In the fourth quarter, we didn't we only use the ATI at October, and they issued seventy-one thousand shares. So it's roughly a hundred and sixty-one thousand dollars.
Rob Stevenson: Okay, guys. Thanks.
Moishe Gubin: Thank you. Time this morning. Pleasure. Thank you. Pleasure. Thank.
Operator: Thank you. And as a reminder, should you wish to join the queue to ask a question at this time, please press star one on your telephone keypad. And your next question is coming from Rich Anderson from Wedbush Securities. Rich, your line is live. Please go ahead.
Rich Anderson: Thank you. Can you just repeat those diluted share numbers you faded out? As you were getting to the OP units. I heard twelve point one million shares and then forty-three point something.
Jeff Bajtner: Forty-three point four three. Three point four three units.
Rich Anderson: Okay. OP units. Oh, it's and it says it for a total of fifty-five point five. Is that right? Okay. Yeah. It's all thirty-one. Thank you.
Rich Anderson: Okay. Thank you. But that was that was as of okay. Gotcha. When you think about financing future activity, do you give any thought to dispositions playing any kind of role at all? I'm looking at your map here, and, you know, you have some assets that are a bit, you know, far afield from your core cluster. That something you're thinking about, or are those sort of planet there for a potential to grow in places like, you know, South Texas or, you know, New Mexico area or something like that.
Moishe Gubin: Well, it's an interesting question. So, you know, the thing about our map is what we own. It's not what our tenants operate. And so some of our tenants fill in the map pretty good with stuff that they're leasing from other tenants. So you don't see their whole portfolio and how they're operating. Like, Missouri as an example. Missouri our tenant in Missouri has thirty-five facilities. We're only leasing eight out of the thirty-five. And so then that fills in pretty good for him. As far as we go, our growth currently is actually the deals that the deals that we have that are hot for, you know, the next quarter or so, are actually in Texas, Oklahoma, and in Missouri. So that'll help fill in the map.
Rich Anderson: Yeah. I'm not catching that last part, but that's okay. I get it was a good point. Why should your tenants themselves kinda fill in the gaps? And then my last question, we got a few on Medicaid and the government and, you know, budget and all that sort of stuff? Do you have is it keeping you up at night? Or, you know, where do you land on all the politics behind field nursing these days?
Moishe Gubin: Well, you know, my background was as an operator. I mean, I haven't been involved with operations in probably ten years or eleven years, but I'm still really in tune with what's going on. I'm still in a bunch of groups, and I get a lot of data. And, you know, most of, I mean, at least in the last few days, I think the Trump just announced that they're gonna be now eliminating or working on eliminating all the civil money penalties that are, you know, because it doesn't really police the facilities just by charging them money. No. That doesn't make them somehow improve their operation. That being said, you know, most of the conversation in the marketplace that I hear of the conversation that people still are most concerned about is the reimbursement. It's not on the it's the net, you know, that flies around that causes the biggest trouble is the regulations and you have to be regulated. It's that kind of business that, you know, in some to be policing, you know, making sure people taking care of this, our most precious commodity is our ancestry, our parents, our grandparents. That being said, I think the biggest worry out there is still the funding not really the regulation. The regulation is a net flying around. And I think most people are optimistic that on the downside protection, most people are not expecting any negatives or reimbursement to occur. And hopeful on the upside that, you know, the states will find the money in their budgets to be able to keep increasing funding to make sure that the operators have the wherewithal they need to be able to profitably. And my thought I don't I'm not too worried about it, but my personality is anyway that of a warrior. But it's definitely a little uneasy, but it's not I'm totally, you know, on the up, not on the down. Here.
Rich Anderson: Appreciate the honesty. Thanks. Bye, guys. Always. Always, Rich. Oh, thank you.
Operator: Your next question is coming from Barry Oxford from Colliers. Barry, your line is live. Please go ahead.
Barry Oxford: Great. Thanks, guys. Getting back to the tenants, the one that is moving out, it seems like you guys got a pretty good beat on, you know, releasing that. Are there any other tenants that you're looking out into 2026 that you're concerned about? I know you collected 100% of rent this quarter.
Moishe Gubin: You know, overall, not really. Our weak state from a reimbursement standpoint, and then the last two with, you know, the union strength and labor and the whole marketplace is really the Chicagoland market. In our portfolio. And, you know, and this double began really post-COVID because of a lot of the rules. They didn't let up on a lot of the COVID rules. Till only maybe the last six months. And most of us just felt that COVID's been gone already two years. So with that, there's been a lot of efficiency in the operations and they've caused a lot of pain amongst people as far as, you know, as far as operating and, you know, profitably. Now our model has us when we look for tenants, is we're not usually just leasing the people that don't have deep pockets. So, you know, most of our people have made money, and ride the wave. And when the market is down, you know, market being in this case, you know, sale, reimbursement, and really, reimbursements aren't down. It's expensive that we're up. Is that they have to do the weird fall and deep pockets to be able to withstand it and then ride the wave the opposite direction. Which hopefully happens sooner than later. So with that being said, you know, I'm not really too worried. I'm more worried about that, you know, that region, which is at this point, six, seven, maybe eight homes. And out of those eight homes, really them are really profitable. A couple of them are right in the middle, and then you got a couple of homes that are struggling. And, again, you know, I would expect that we'll have a change. We'll have a change in one asset. We'll have change maybe in a second asset. Even though we're collecting hundred percent, right? We'll change out operators to somebody else that wants to make a go of it, and everything should be. Way sooner. Than the end of the year.
Barry Oxford: Okay. Perfect. And then last question, for me. Given the growth that you have in a portfolio for 2025 and maybe doing a hundred and fifty, maybe even more acquisitions. How should we think about the G&A as we're kinda modeling that out for 2025?
Moishe Gubin: So G&A, I think I yeah. You said this is my last in last year's or last quarter's comments. At this point, our G&A is exactly what you see for fourth quarter G&A. Is basically what our normal run rate should be going forward by quarter. The only thing that's still out there is my pay, where there's been a bunch of discussion amongst the board members and the compensation committee about compensating me more in line with the market. I'm not pushing it. I honestly don't care. I'm a large shareholder. And it's a labor of love as much as it is a livelihood. And so I would say to you that if you want to model for, you know, a call worst case, but that's not really worst case. Assuming they have we signed some kind of employment agreement and you wanna model it out, you'd be adding to the G&A, you know, maybe a million, like, two million dollars a year. It's not a huge, huge number. It's a bigger number than what we've been trying. I think I would still be running leaner than all of my all of our competitors, all of our peers. But that's the only thing else. There's no G&A. There's no other expected cost increases anywhere in our cost profile with the G&A expense.
Barry Oxford: Perfect. Thanks, guys. Appreciate it.
Moishe Gubin: You're welcome. Thank you, Barry.
Operator: Thank you. Your next question is coming from Mark Smith from Lake Street. Mark, your line is live. Please go ahead.
Mark Smith: Hi, guys. First question for me was just any update or thoughts on the integration of the newly acquired properties and you guys were, you know, acquiring at a little more rapid pace here recently.
Moishe Gubin: Yeah. No. It's seamless. I mean, we already had been there beforehand. So from an asset management side, we already got a baseline of the problems look. We already know the properties, I don't know. Like the first time around before we ever buy the asset. I mean, we have a library full of pictures of every nook and cranny of every building that we bought. With that, our conversation relationships with the operator has gone off great. Both Willie in Kansas and Rick and Nick in Missouri, I mean, they're model tenants. And good guys, and we're spending a lot of time together outside of, I mean, that's part of our routine is we make friends with people we do business with. And so yeah. So it's relatively seamless. The first month, you know, just a little bit of coordination of the wire instruction of the ACH, but now everything's set up to get our rent on the first of the month or second of the month like every other tenant. And absorbed all the CapEx schedules. And, really, it's really not a it's seamless. There's no there was no hiccup at all. And we don't expect there to be a hiccup at all. I actually causes a little bit more because now I have to go and spend a little bit more time in Saint Louis, Missouri to cultivate the relationship even further. And I'm happy to because I really like these guys, but, I mean, still a schlep for me because I haven't spoken out. But other than that, it's and I fly commercial. I sit and coach and, you know, it's okay. Again, there's no easy way to get to Lambert from FLL, so it's an all-day event. But that being said, really, really absolutely. I mean, we're really at this point, we have a real warmer machine here. Like, when we make a deal from start to finish, getting through the deal, you know the diligence deal side, which is always slow in my world. But regardless, it's still we everyone knows what they gotta do when we just get it done, and you know, you know, and I'm forward backing to make sure that, you know, the money's in the right place and things are all lined up the way it's supposed to be. And really, there's I don't I don't wanna sound overconfident, but reality is, like, there's really nothing that we can't get done here. I mean, I feel confident as far as raising money, as far as, you know, if we need a lot of money, that's not even, at this point, you know, something that would hold us back. And as far as organization, you know, we hired a third asset manager a bit ago, and now we have three active full-time asset managers for a portfolio of a hundred and thirty. Is a good number. This year, most likely, we'd have to hire another at some point, but it's not a serial number. And then same thing in accounting is strong and we're trying to look for a paralegal for the attorney. But other immaterial numbers, for G&A, you know, but yeah. Thanks for the question.
Mark Smith: Okay. Yep. The only other question for me is just you guys already talked about kinda how you buy, no change in plans and structure there. I'm curious. So as we think about the pipeline, are you seeing any changes in kind of the deals that you're looking at, whether that be size or structure that maybe others are pushing for? Any changes in the pipeline?
Jeff Bajtner: Well, that's been our whole approach to this business is that we haven't changed our approach. As long as the deals make sense and closed.
Moishe Gubin: Yeah. Keep in mind, we're. I would say just to add to what Jeff said. I mean, we have been seeing a lot more. It seems like it seems like a lot more to me. More sale leaseback opportunities where before it was outright sales. Because the last few deals we did were sale leasebacks. In fact, the deals we're working on right now are all sale leasebacks. So that's been that's been and our argument to them, it would process to get the time can't buy. You know, ink shares. And so there's that. And then the second side of that is, you know, we can control what their long-term rent is. So instead of them, you know, squeezing every penny out, you know, up to one and a quarter could take a little bit less so they can have a little bit more, you know, it's a little bit less uneasy around the collar for them. You know, on the rent number so they get, you know, they get paid less and they have less rent. And so I guess that's the one variant that we've seen in to answer your question.
Mark Smith: Okay. Great. Thank you.
Moishe Gubin: Thank you.
Operator: Thank you. And there are no further questions in queue at this time. I would now like to turn the floor back to management for closing remarks.
Moishe Gubin: Yeah. I guess I'll close it out. I appreciate the interest from all the folks that joined today. We are working hard for our shareholders. Our objective has always been to bring shareholder returns and to run a nice clean shop that we could all be proud of. And we're gonna keep doing what we're doing. Exactly how we've been doing it, which has been working so far. And hopefully, we will be providing a good return to our shareholders. As expected, and with that, again, thank you so much, and have a very nice day. Any follow-up needed? Do you guys know we're transparent folks? Feel free to reach out to us. And we look forward to the interaction. Have a very good day, everybody. Thank you.
Operator: Thank you. This does conclude today's conference call. You may disconnect at this time and have a wonderful day. Thank you once again for your participation.